Operator: Good day, and welcome to the DISH Network Corporation Q4 and Year End 2017 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jason Kiser. Please go ahead, sir.
Jason Kiser - DISH Network Corp.: Thanks, Michelle, and thanks, everybody, for joining us. I'm joined today by Charlie Ergen, our Chairman; Tom Cullen, EVP of Corporate Development; Erik Carlson, our CEO. We also have Brian Neylon, President of DISH; Warren Schlichting, President of Sling; Steve Swain, our CFO; Paul Orban, our Controller; and Tim Messner, our General Counsel. So, I know, Erik and Steve have some prepared remarks, but Tim is going to do our safe harbor disclosures.
Timothy A. Messner - DISH Network Corp.: Thanks, Jason. Good morning, everyone. Thanks for joining us. We ask that media representatives not identify participants or their firms in your reports. We also don't allow audiotaping and ask that you respect that. All statements we make during the call that are not statements of historical fact constitute forward-looking statements. Those involve known and unknown risks, uncertainties and other factors that could cause our actual results to be different from historical results and from any future results expressed or implied by forward-looking statements. For a list of those factors, please refer to the front of our 10-K. All cautionary statements that we make during the call should be understood as being applicable to any forward-looking statements that we make wherever they appear. You should carefully consider the risks described in our reports and not place undue reliance on any forward-looking statements, which we assume no responsibility for updating. With that, I'll turn it over to Erik Carlson, our President and CEO.
W. Erik Carlson - DISH Network Corp.: Thank you, Tim. Welcome, everyone. We announced a new organizational structure at the end of last year, so I wanted to take a moment to review that. Then I'll make a few comments on our results, and I'll turn it over to Steve Swain, our CFO, who will go a little bit deeper on the financial results. As you may recall, Charlie stepped away from the CEO role last December to dedicate himself day-to-day to the development of our Wireless business. And as Charlie shifted roles, I've been appointed President and CEO, so I thought I'd give you just a little bit of background on me. One is 23 years at DISH. I joined the company before we launched our first satellite, EchoStar I. I've been here for every DISH TV and Sling TV subscriber that we have served. And I've held various roles; sales, operations, including leadership in our in-home services department and customer care organizations. And most recently I served as President and COO, overseeing the company's day-to-day operations. So as we're starting out to 2018, we'll look at the business through the following lens. Within our Pay TV business segment, we've got a mature business in DISH TV and we've got a growth business in Sling TV. And we've also got a future business in Wireless. So I'm going to speak for a few moments on Pay TV, and Charlie and Tom are both here to take any of your questions on Wireless. So at DISH TV, as we've said over the years, satellite business is definitely a maturing business. We don't have the growth dynamics that we had in early years, but we still see some opportunity. We believe that DISH provides the best TV pay experience that you can get. We offer, no doubt, the best technology, best customer service, and the best value. And DISH TV is really the engine that's funding our future. So for 2017, we ended sitting just above 11 million DISH TV subscribers, and we spent really the last two and a half years improving our subscriber mix, really by focusing in on acquiring or retaining long-term profitable customers, despite the tough competition with both cord cutting and aggressive bundled offers. The percent of newly acquired customers in our low competition or stable rural markets is definitely growing. And voluntary churn is down as we get back to our roots really, and focus in on adding rural customers. As well as we're equipping our front line and loyalty agents with more customer-centric save tactics. In addition, higher quality new customers are driving non-paid churn to a multiyear low. Now we're committed to putting the customer first and delivering on superior technology, outstanding service at a great value. And we continue to challenge the sector through innovation. We've got the best DVR in the market with Hopper. We're the first major Pay TV provider to integrate with Netflix. We're the first to offer hands-free TV with Amazon Alexa. And by the way, coming later this year we'll be integrating the Hopper with the Google Assistant product. All this really complements what we're doing with our newest Voice Remote control, which launched in November. And customers love voice control. Those customers that use the features have lower churn and definitely higher margin. Now on the service front, we ranked number one in customer service nationally by J.D. Power and our customers. And that's really a testament to our commitment through our frontline employees who are taking customer calls and who are installing DISH TV every day across the country. And we've definitely been providing value to our customers through innovative programming packages. For example, we've got the ability now to right-size customers through skinnier packages like Flex Pack. And we're the only provider that offers the option to get locals over satellite or through an off-air antenna. With our technology, customers who have an antenna can easily receive free local programming and integrate that content right into their guide on the Hopper. It's a seamless experience that can help save the customer $12 a month. Now looking over at our overall Pay TV segment, net Pay TV subscribers increased by approximately 39,000 in the fourth quarter. Now that includes 75,000 reactivations in Puerto Rico and the U.S. Virgin Islands where we incurred certain expenses in connection with the reactivations of these returning subscribers following the devastation of Hurricane Maria. I want to take a moment to thank our team in Puerto Rico who has really worked tirelessly to help get customers back up and running, even while looking out for their own families and friends in a very challenging environment. Our retail partners have worked long hours, and our DISH team members from the mainland have spent many weeks away from their families to help our customers return to service. We've also had team members assisting in the broad recovery effort as part of our DISH Cares corporate citizenship program. We've installed satellite broadband across the island, connecting hospitals, FEMA sites, pharmacies, emergency command centers. And I just have to say, I'm incredibly proud of the work that we're doing there and the effort that the team shows. And just a few weeks ago we launched Sling TV on the island to help folks immediately get that new sports and entertainment that they may have been missing since the storms last fall. Let's take a moment and look at our growth business in Sling TV. No doubt you've taken notice of the fact that we've individually reported DISH TV and Sling TV subscribers within our Pay TV segment. Sling TV was the first and it remains the leading live and on-demand internet streaming service, and we're pleased with its growth. Sling saw 47% year-over-year growth, closing 2017 with 2.2 million paid subscribers. And when Sling TV launched more than three years ago, we really set out to create a completely different model. Our vision was to give consumers more choice and control in how they watch TV and really set a new standard for the future of television. To give consumers the ability to customize their entertainment experience with things like optional add-on packages, optional cloud DVR and the option to get free broadcast locals with an antenna, even the option to come in and out of the service. So throughout 2017, we've seen steady improvements in our stability of the platform. This is translating to more engaged subscribers watching 27% more Sling per day. And, in fact, during the college football playoffs, we broke a Sling TV record for the greatest number of live concurrent customers using the platform. With programming costs that continue to rise, we've been focused really on margin expansion in areas that we're better able to control. For instance, Sling TV ad sales has increased tenfold year-over-year, due to really pushing technology forward. And that leads to higher CPMs that really reflect the more targeted nature of the Sling TV service. Also, our customer-driven ARPU was up double digits, and this growth has been led by DVR penetration as well as our pay-per-view events and our programming add-ons. Now one final item before I turn it over to Steve that really touches on the whole business, and I've mentioned putting a focus on the customer first and that leads to another one of our goals, which is really fielding the best team possible. And then to that end, I'd like to officially welcome our new Chief Human Resource Officer, David Scott, who joined our team earlier this month. He comes from Walmart where he served for 20-plus years in various HR leadership roles, and he'll continue to work to attract, retain and develop the best team to serve our customers. With that summary, I'll turn it over to our CFO, Steve Swain, to briefly walk us through a few notes on the numbers.
Steven E. Swain - DISH Network Corp.: All right. Thank you, Erik. Looking at the P&L, 2017 revenue was $14.4 billion, down $821 million or 5.4% compared to 2016. This decline was driven by DISH TV subscriber losses, partially offset by Sling TV subscriber gains. ARPU pressure was also seen due to a higher mix of Sling TV customers as well as DISH TV cord shaving. Rate pressure was partially offset by a DBS price increase, an increased take rate of higher-priced Sling TV packages, and an increase in Sling TV's ad sales revenue. While right-sizing initiatives may create short-term ARPU pressure, they offer a better, more disciplined long-term customer solution in comparison to simply offering loyalty credits. As Erik mentioned, because of this strategy, utilizing customer-friendly save tactics, as well as our focus on activating higher quality subscribers, we've seen DISH TV churn decrease to multiyear lows. Turning to expenses, subscriber-related expenses were $8.9 billion, essentially flat year-over-year. This primarily is the result of fewer DISH TV subscribers, offset by significant programming rate increases. Our subscriber acquisition costs were $1.2 billion, decreasing $252 million or 17% compared to 2016. This decrease is primarily related to fewer DISH TV activations and lower costs per DBS activation, partially offset by increased marketing expenditures at Sling TV. Selling and administrative expenses were $687 million, down $49 million or 6.6% year-over-year. This variance was primarily driven by favorable litigation settlements and fee reversals recorded early in 2017. At the end of 2017, we concluded that the carrying value of one of the satellites we acquired from TerreStar in 2012 exceeded its fair value. As a result of this assessment, we wrote down the net book value from $246 million to $100 million, and recorded an impairment charge of $146 million. This charge did not impact cash flow. From an income tax perspective, due to tax reform, we remeasured our net deferred tax liabilities to the new 21% federal statutory rate. The re-measurement resulted in a noncash benefit of $1.2 billion and can be seen on the income tax line of the P&L. In 2017, we did not pay federal cash taxes, largely due to lower pre-tax income as well as the amortization of our spectrum licenses, including our newly-acquired 600 megahertz licenses. As we have mentioned in the past, spectrum is amortized for tax purposes but is considered an indefinite lived asset and not amortized for book purposes. In 2018, changes resulting from tax reform, including limitations on the deductibility of interest, may increase cash tax paid for federal taxes. However, the ultimate impact of tax reform will depend on several variables, including our 2018 results and tax planning strategies. Our free cash flow of $1.4 billion in 2017 remains strong. The year-over-year decline of approximately $122 million was primarily attributed to a decrease in EBITDA and an increase in cash interest payments associated with debt raised in 2016, partially offset by lower cash taxes and lower CapEx. We have a senior note maturity on April 1, 2018. The remaining debt balance on this maturity is approximately $1 billion. We expect to fund this obligation from cash. As of December 31, 2017, we had approximately $2 billion of cash and equivalents on hand. In terms of the new revenue recognition standard, the first thing to note is that prior periods will not be recast. So as we report results in 2018 under the new standard, we will also show what 2018 would have looked like using the old standard. We do not anticipate a significant change to our revenue. The biggest impact to us will be related to commissions costs which we currently expense as incurred through subscriber acquisition costs. But in the future, commissions will be capitalized and amortized over the estimated customer life. Therefore, 2018 costs will be lower than in previous periods. We expect commission expense will return to a steady state run rate in 2021. Lastly, there will also be less significant impacts to other items such as upgrade fees and commercial contracts. Of course, all of these changes will be related to timing and classification and will not impact cash flows. So with that, I think we're ready to open it up for questions from the analyst community. Operator?
Operator: Thank you. The first question comes from Philip Cusick of JPMorgan. Please go ahead.
Philip A. Cusick - JPMorgan Securities LLC: Hey. Thanks. Charlie, can you talk about the Wireless network, the progress so far on your plans, and the OpEx that's happened so far? And the drag that happened in 2016 versus 2017, as well as both CapEx and OpEx that we should expect in 2018? Thank you.
Charles William Ergen - DISH Network Corp.: Yeah. I'll let Tom – probably Tom can answer a bit more than I do, so I'll let him answer that.
Thomas A. Cullen - DISH Network Corp.: Hey, Phil. Yeah. We're making good steady progress on the network buildout. We've significantly enlarged the team and continue to add resources there. We've negotiated and executed many agreements from network equipment to towers to chipsets to deployment partners, so lots of activity in progress. Steve, I don't know the actual number in 2016 associated with Wireless.
Steven E. Swain - DISH Network Corp.: The change between 2016 and 2017, that variance is negligible.
Thomas A. Cullen - DISH Network Corp.: Okay. But as you probably saw in the disclosure this morning, Phil, we're now estimating that we would spend up to $1 billion to complete this phase one of the network, which is as we filed last year in the first quarter to comply with the license requirements by March of 2020. In the meantime, we continue to look at phase two of the network deployment which would be a broader use of the spectrum beyond narrow band IoT, and there's a few practical gating factors associated with that. One is the 3GPP standard that was approved for 5G in December. That contemplates – that's what they call the non-standalone network. So understandably, the incumbent carriers prioritize that in the standards process, and that particular standard contemplates that you would have a 4G core to roll back to. Since we're a new entrant, we would be waiting for the standalone 5G standard, which is expected to be ratified later this year. The second practical gating point associated with any phase two deployment is the availability of the 600 megahertz spectrum. Since the auction ended in 2016, the broadcasters have 39 months to clear, and so that clearance of all those licenses probably won't occur until early 2020.
Philip A. Cusick - JPMorgan Securities LLC: Thanks, Tom. And then the $1 billion, is that both CapEx and OpEx to March 2020?
Thomas A. Cullen - DISH Network Corp.: Yes.
Philip A. Cusick - JPMorgan Securities LLC: Thank you.
Thomas A. Cullen - DISH Network Corp.: So we'll begin to incur that in 2018, clearly, and the bulk of it in 2019, and then some will fall into 2020.
Philip A. Cusick - JPMorgan Securities LLC: Thanks very much.
Operator: Thank you. The next question comes from Marci Ryvicker. Please go ahead.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. Steve, can you just walk us through EBITDA for the fourth quarter? Because I think there are a bunch of different numbers out there just from an organic perspective. And maybe talk about what the EBITDA number is that you used for your leverage calculation. And then, there's a little bit of concern on how high your leverage is that you may have to tap the capital market at some point. Can you talk about how comfortable you are with whatever the height of your leverage target is? Thank you.
Steven E. Swain - DISH Network Corp.: Sure. Okay. For the fourth quarter, Marci, what we look at is essentially OIBDA, which was about $600 million excluding the impact, the noncash impact of the asset impairment. So that's kind of the run rate number for the fourth quarter. As you and others have written, it is down on a year-over-year basis. As we look forward to 2018, we are projecting to bend that trend. As Erik mentioned, we have our strategic focus on acquiring and retaining higher-quality subs, even if that impacts the overall acquisition of fewer subs. The good news story was we are seeing proof points. We have a multiyear low in insurance which is helping our profitability. And another proof point is we just went through our price increase last month and those results were better-than-expected. So our acquiring and retaining higher-quality subscribers is working. On the Sling side, Erik mentioned a couple things. We do see ARPU and margin expansion in 2018, so we'll see ARPU tailwinds coming from addressable advertising, as well as increased penetration on add-ons, such as DVRs. We look at – so that's EBITDA bending the trend. Wireless, Tom talked about that the – we're still in the planning phases and we'll start the $500 million to $1 billion spend in 2018 with the bulk in 2019. And with paying the debt April 1, we expect interest expense – cash interest expense to be down on a year-over-year basis, and I already talked about income taxes. So, if you add up all the pieces, the modeling should come out to a healthy free cash flow. We're certainly aware of our debt maturities, this one in 2018 as well as another one 18 months or so from now in 2019, and we are planning accordingly.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. Is there a – do you have a leverage target or a high end that you just absolutely won't go above?
Jason Kiser - DISH Network Corp.: Yeah, Marci. This is Jason. We really have never put out a leverage target. We're pretty comfortable with where we stand right now. We do plan to pay off, as Steve mentioned, the maturity that's coming up in April. We've got a pretty wide gap before the next maturity hits. We don't have any plans to go to the capital markets at present, but we have never, as a company, really put out a formal leverage target.
Marci L. Ryvicker - Wells Fargo Securities LLC: Okay. Thank you.
Operator: Thank you. Our next question comes from Jason Bazinet of Citi. Please go ahead.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: I just had a question on the quarterly EBITDA that you guys put up. Was there any impact from the 75,000 reactivations in Puerto Rico that was material that may have depressed the EBITDA in the quarter? Or is that not really a factor?
Steven E. Swain - DISH Network Corp.: It wouldn't. It doesn't have a material impact to EBITDA. It was included in the subscriber acquisition costs and those 75,000 reactivations were below the average cost per add that DBS normally sees.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: Okay. Thank you.
Steven E. Swain - DISH Network Corp.: On average.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: Yeah. Thank you.
Operator: Thank you. Our next question comes from Bryan Kraft of Deutsche Bank. Please go ahead.
Bryan Kraft - Deutsche Bank Securities, Inc.: Hi. Good afternoon. I had two questions I wanted to ask on the DE situation. First, I want to know if you could clarify whether or not the $400 million penalty, I think, it was 400, that you had paid at the DE case will be refunded given the court's decision? And also whether or not that is dependent on whether you come to a satisfactory remedy with the FCC. And then secondly, wondering how realistic it is that you might be able to come up with a remedy that would satisfy the FCC without overly diluting DISH's governance rights. In other words, is there any – is there a structure there that could work for you and the FCC? If there's any light you could shed on that or any comment, that'd be great. Thanks.
Charles William Ergen - DISH Network Corp.: This is Charlie. Bryan, we're certainly pleased that the court has remanded it back to the FCC, and we're hopeful that we can address the FCC's concerns. Obviously we don't believe we've ever controlled these entities, but the FCC has stated some concerns, and so we're pleased that we get to negotiate. We're not really as pleased about the process and public notice, and so forth, but at least we have a chance to address with the DEs their concerns. The penalty was not addressed, by the – I think, it's about $500 million, maybe a little more than that. I don't believe that was addressed by the court. We did ask the question. It wasn't addressed by the court. So I think that's still an open issue with the court. So there's about $3.3 billion of discounts at issue and potentially as much as a little over $500 million in penalties.
Bryan Kraft - Deutsche Bank Securities, Inc.: Okay. Thank you.
Operator: Thank you. The next question comes from Ben Swinburne of Morgan Stanley. Please go ahead.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Thanks. Good morning. Good afternoon. Charlie, could you talk a little bit more – or Charlie or Tom – about what the network is going to look like at the end of the $1 billion or up to $1 billion in 2020? What is the service offering we should be expecting? What kind of coverage and product offerings that this build may bring to market? Any more color would be helpful. And then, just for Steve. Steve, you made a comment about cash taxes may be going up. I don't know if you can help us there at all. We all have our own EBITDA estimates, but what the right calculation may be on interest deductibility so we can think through the implications there. And then, related, or related at least to Steve, any help on how much of the subscriber acquisition costs last year were represented by commissions, so we can think about the benefit you're going to get in 2018 and beyond from capitalizing and amortizing those costs? Thanks.
Charles William Ergen - DISH Network Corp.: This is Charlie, and maybe Tom will want to jump in. But the network, as we talked about it and disclosed to the FCC last year, is a narrowband IoT network. It'll cover 70% of the population at a minimum across the country, and obviously after we came out with a narrowband IoT network, you've seen major communication companies around the world and the United States also declare their intentions for narrowband IoT. So the connectivity side of where the world is going is being recognized by people at all levels. Obviously it's the first step in our networks. It's not – we're only cleared – the DE situation has, because it's not resolved yet, is another factor that kind of ties our hands a little bit because we obviously don't control that spectrum today. So we have – our uplink spectrum is probably not the ideal spectrum we'd like to use in a network. And then, obviously, 5G standards, product for 5G standards, will come on to the marketplace not in time for us to deploy the broader network in phase two that we'd like to. So, we've built a great team, we've got a really passionate group of people here. Obviously, my day-to-day focus now is on that network, but not just that network, it's all the things that go along, and satellite play is a component part of it as well. Video play is a part of it. So we're well-versed in what we think the next generation of networks should look like. Like anything else, the foundation will be that narrowband IoT network, but that's really just a small part of where we'll go with that network in terms of total 5G network. So I think short answer is it will cover at least 70% of the country. It will connect to those devices that don't need – it's not going to connect to a jet engine off an airplane that downloads a lot of data, but it will connect to people and sensors and microprocessors where it can fit within frameworks of data rates, and that's a – you just, every day, you start reading about all the growing applications for that. As an example, we went out and we acquired a company called ParkiFi, an IoT company that was a leader in the parking space in terms of parking meters and parking and so forth, and so that has rolled into some of the things that we're doing in terms of where we could go beyond parking and applications in cities and municipalities and things like that. So we've got some – we've added some expertise to our team that's done IoT, and had real business and real customers. So it's a bit new to us. It's like, it reminds me a little bit when we decided to build satellites in 1990, we never built a satellite, so. We got there because we've got a great dedicated team who is passionate about doing it, and we put our hearts and souls into doing it, and that's what we're doing with Wireless. Tom, do you want add anything on that?
Thomas A. Cullen - DISH Network Corp.: Yes. Ben, just a couple of clarifications. The 70% requirement, we will be, the plan is to provide terrestrial signal coverage to 70% of the population in each of the 176 license areas, and so it's not on a U.S. population basis. As far as product and services development, that's still work in progress. As Charlie said, we see several – there's consumer applications, clearly, but there are also enterprise/commercial verticals, as well as municipalities. We're encouraged by the activity, actually, globally. You're seeing quite a bit in Asia and Europe around narrowband IoT, and so we'll be monitoring what applications and services are succeeding elsewhere and, as I said earlier, we've already executed agreements for chipsets and modules, and so now we're looking at end user devices and business, specific business cases.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: That's helpful. Thank you, guys.
W. Erik Carlson - DISH Network Corp.: Yeah, Steve – I think that, Steve had a couple of questions...
Steven E. Swain - DISH Network Corp.: Good morning, Ben.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Hey.
Steven E. Swain - DISH Network Corp.: So cash taxes, we're not really giving a specific number on that. We'll have an update after Q1. And then as far as rev rec impact, specifically, commissions, we don't give guidance on EBITDA, and giving you kind of the impact to EBITDA from rev rec is, because we don't give guidance on EBITDA, it's a little circular. I can say that it is a good guide, as I mentioned, and it's going to be less than 5% of EBITDA. But as I mentioned in the first quarter, you'll see 2018 results under the new standard, as well as the old standard. So you'll be able to see all the changes. But it's, A, it's good guide; and B, it should be relatively small net impact to EBITDA of commissions and all the other line items on that measure.
Benjamin Daniel Swinburne - Morgan Stanley & Co. LLC: Okay. Thank you.
Operator: Thank you. The next question comes from Walter Piecyk of BTIG. Please go ahead.
Richard Greenfield - BTIG LLC: Hi. It's Rich Greenfield. Walt is reconnecting with nature somewhere and will be back on the next call. But a couple of questions, all on your – on the video side of the business. So DISH has been able to keep the cost of programming down by kind of separating Disney and Fox content, so it's not in all of their packages. Do you think that's going to be sustainable in light of the in-process merger between Disney and Fox? Two; Sling, nor really any of the vMVPDs that you now compete against, other than for adding channels, none of them have raised price. So your programming costs, I assume, keep rising, yet your retail pricing has all remained the same. Is that sustainable? And then just quickly on housekeeping, I just want to make sure that the Sling numbers that you've started reporting, that actually includes all the international-only subscribers that actually predated the launch of what we now call Sling in early 2015. Thanks so much.
Charles William Ergen - DISH Network Corp.: Yeah, Rich. I'll try to take a stab at that. Well, obviously, we'll have concerns. We'll, obviously, have concerns about Disney, Fox, and so forth. And, obviously, consumers would like to pick and choose what they watch. And, obviously, the nature of the beast today is not quite that way for anybody in the marketplace. And then, you've got, obviously, the AT&T-Time Warner merger. So I think the landscape will potentially can change one way or the other over the next 12 months, and we built our company to be able to adapt to that. We don't make the – we're not big-enough company to make the rules in Washington, and we are subject to the courts like everybody else. So we've been around long enough to know we're going to have to be able to be adaptive to that and make sure that we plan for these kind of contingencies to the best you can, and I think, we're as well-positioned as anybody can be in that. There's nothing new on the video business, other than what we've been saying for the last five years, which is the video business is going to change. And I think that we're probably the first guys in the industry to take a real hard look at the profitability of customers and adjust accordingly, and not try to be – not try to have a number for a quarter and make sure we spend our money where we could get a return and we saw the world going to connectivity and video being a big part of that and had the opportunity to acquire spectrum. We're the largest acquirer of spectrum in the last three – when you take the last three auctions, and that's where we put our capital, and our biggest bet that we've ever made, and we think we're going to be a major player in that. And if not, then connectivity is not going to be a business. And, again, we haven't made a lot of big bets, but with good bets, we've been pretty confident and when we've made them we've gone all-in and we're certainly all-in, and we think we have an ability to come here with a kind of clean sheet of paper, and we spent a lot of time talking to people about what they'd want to see in a new clean sheet of paper 5G network. We have a pretty good feel for what that should look like. We think that looks a little different than what some of the other guys are doing. We think that that's going to add to productivity, and the health and welfare of this country and make it more competitive, and we think it's going to be profitable for us. And so video business isn't going away, and Erik and his team are managing a mature business the way you should manage a mature business, and not in a unhealthy – in a healthy way, and it's still a very well cash business. I think, you can extract out that as the industry declines in the linear TV business, that there's consolidation opportunities, where you are going to need to be more efficient, and you're going to need to cut costs, and I think, those thing – and regulatory rules will change. And so, I think, you can see a lot of different things that will probably come about in the future. So I think – I don't think anything – I don't think there's anything that's happened that we haven't kind of internally projected over the last five years. And I think we've positioned ourselves well for those changes that are going to come and we've been a bit ahead of the curve on most things, and that we're certainly ahead of the curve on the connectivity. What was the other question? I don't remember.
W. Erik Carlson - DISH Network Corp.: Well, Rich, maybe – this is Erik. Maybe just on the international customers, just on our Sling subscribers, I mean, we're looking at paid subscribers and we have, obviously, a number of different services, right, so you could take Orange from us, you could take Blue, you could take Orange and Blue, plus international. For example, if you took Orange plus Blue plus international, that would count as one subscriber for us.
Charles William Ergen - DISH Network Corp.: And the short answer is the 2.2 million – in the 2.2 million subscribers are some international-only customers.
Richard Greenfield - BTIG LLC: That was the question.
Charles William Ergen - DISH Network Corp.: That's right.
Richard Greenfield - BTIG LLC: And then, Charlie, thank you for that clarification. But just to follow up on what you just said about the DTV, or sorry, the AT&T-Time Warner transaction, the government clearly shares your view. That's going to head to court next month. Obviously, we'll all see where that ends up. But if the government sees the consumer being harmed by that transaction, do you think – how does DISH think about the Disney-Fox deal? And should the government view that the same way as they view the AT&T-Time Warner deal?
Charles William Ergen - DISH Network Corp.: Well, I mean, I think I've been around long enough to know that each transaction is different and that the government will handle them differently. But to the extent that there's similarities between Disney-Fox, and I would argue that there are then those should be treated consistently. In my experience with the Justice Department, in particular, is that's typically the case.
Richard Greenfield - BTIG LLC: Thank you very much.
Operator: Thank you. The next question comes from Brett Feldman of Goldman Sachs. Please go ahead.
Brett Feldman - Goldman Sachs & Co. LLC: Thanks for taking the question. A quick modeling question, and then a bigger picture question. The modeling question is, if we look at some of the new segment disclosure you provided, including visibility into the Wireless P&L, looks like there was about $162 million EBITDA drag in Wireless in 2017. I was hoping you could clarify whether the AWS-4 satellite impairment charge is included in that. And then the bigger picture question. Charlie, when we talk with investors about 5G, and really when you read about 5G, it's almost exclusively a discussion about spectrum bands over 3 gigahertz. And your portfolio is substantially below that. And I think there's a view that that's kind of what the 5G playing field is built around. So I was hoping we could maybe just take a moment and step back and you could talk a bit about how you see your wireless assets, your spectrum resources, fitting into the broader 5G ecosystem. And whether you think it is important for you to identify scale in even higher frequencies either by acquiring it or working with a partner or something along those lines. Thank you.
Charles William Ergen - DISH Network Corp.: You want to take...
Steven E. Swain - DISH Network Corp.: Yeah. The first one, yes. The $146 million impairment did hit the Wireless segment.
Brett Feldman - Goldman Sachs & Co. LLC: Thank you.
Steven E. Swain - DISH Network Corp.: Noncash.
Charles William Ergen - DISH Network Corp.: And then, Brett, on the 5G question, it's a good question. First of all, I'd say as a general statement, much of the 5G talk is confusing, misinformed, and inaccurate and spin-worthy. But within that, there is, obviously, lots of good information that is very accurate. And the first, the 5G has initially been focused on the higher end spectrum, even in the millimeter wave technology because you can take advantage of some of the things that 5G offers in terms of mass and MIMO and things like that. And it was the spectrum frontiers, the efforts on the FCC part, which I would congratulate the FCC on that to bring more spectrum to United States. They've really done a pretty fantastic job of that. In terms of, that's been their focus. But having said that, you're going to see that 5G impacts all levels of spectrum, starting as low as 600 megahertz. And T-Mobile has made up, as will we, to make sure that as our network we believe that 5G will be in our bands of our spectrum. We don't – we do own about – most of the top 50 markets in millimeter wave technology and the 12.2 to 12.7 GHz technology. We've asked the FCC – we've actually gone to the previous administration to look at that. Chairman Wheeler didn't quite get it in the spectrum frontier side of it. But there's about 500 megahertz of terrestrial spectrum that we believe could be put into use pretty much right away that we own a significant proportion of it, but there's others that own it as well. And we're hopeful that this administration will and Chairman Pai in particular because he's so focused on bringing additional spectrum, would take a look at that and get that on – get a rule making for that to bring that into use. Because that could come into use before just about any other kind of spectrum that they're looking at. So we do have some of that. We do own some 28 gig spectrum in four states as well. So we've thought about millimeter. We think it's a bit more in the fixed wireless, at least initially. There's a little less knowledge about whether we can make that in terms of mobility use. But I think that, like anything else, everything that – that the data demands of where we're going as a country and a population continue to increase, the technology gets better. The technology gets better, the efficiency gets better, the new bands come. But we need all those resources to meet up with. We haven't seen an effective artificial intelligence and virtual reality and changes to our health care in the United States. We haven't seen those things come online yet. And autonomous vehicles, just tremendous amounts of data. So we need all the – we need every resource to play a part. The other thing I'd say in 5G, at least the way we look at it is, there's a bunch of things beyond 5G per se in terms of technologies that we think that when you start with a clean sheet of paper you – big improvements, notwithstanding the latency improvements you can make. But there's things like virtual networks. When you start going to your core networks being virtualized and all the things you can do and the cost efficiencies and efficiencies with your network, when you think about, then that's a huge difference. AT&T is kind of leading the way on that today, but we certainly believe that our network will be virtual from day one. The entire network virtual from day one, as an example. There's things that you can – where you can slice your network so that multiple people could have access to your network almost as if they own their own network. That's not in anybody's networks today. So there's things in security. When you start thinking about IoT and things that we can do in security that were never thought of in existing networks today, maybe make that network a bit more secure for customers or making sure that somebody doesn't have use of your data that you don't want to. So a lot of different things that we can do that are beyond the 5G side that make a clean sheet of paper network just that much more efficient and the cost per bit that much less than where people are today. It's a little – again, my analogy just is the world today is prop planes, and we just invented the jet engine, and we get to start an airline with jet engines. Doesn't mean the other guys don't have jet engines, but they don't want to write off all the prop planes they own, and so it's going to take them a number of years to wean those prop planes out of their fleet. We get to start with all 737s like Southwest Airlines and maintenance costs are down and cost per mile is down and safety is better, and it's the same thing.
Brett Feldman - Goldman Sachs & Co. LLC: If you don't mind, apologies, you talk about the clean sheet and the efficiency. It would seem like that would be most appealing to somebody who is not presently in the space. I mean, they would get all the efficiency and none of the legacy. Have you continued to talk to companies outside of your traditional wireless space? Do you think there's a real appetite to partner with DISH as you build out that clean sheet of paper network?
Charles William Ergen - DISH Network Corp.: I believe that that clean sheet of paper approach is attractive to people outside of the industry who maybe have huge data needs in their future. When their planning people are looking at their data needs and they look at that, you can think of some companies that might be in that situation. I think it's also attractive to people who are in this space where particularly as you get below 3 gig, in answer to the other question, I forgot to say, they have to re-farm their spectrum. And so that's changing the tires as the car's moving down the road. That's a little bit more difficult to do. So for those companies potentially a clean sheet of paper would allow them to enter with a hybrid network of 5G and 4G without having to go through the inefficiencies of farming their – an artificial deadline to re-farm their network. So I think our network is appealing to any number of companies, both in the business today and outside the business today.
Brett Feldman - Goldman Sachs & Co. LLC: Thank you.
Charles William Ergen - DISH Network Corp.: Operator, we'll take one more question before we move to the media.
Operator: Thank you. We will take our final question from the analyst community. We will begin the media portion of this call following the answer to this final analyst question. Our final analyst question comes from Lee Cooperman of Omega Advisors. Please go ahead.
Leon G. Cooperman - Omega Advisors, Inc.: Wow, made it just in under the wire. I have two questions directed to Charlie, really. First, you have more skin in the game than anybody. You have a mixture of businesses that are growth businesses, deteriorating businesses, sunrise, sunset, whatever. I'm just curious, as you and your team are hard at work, do you believe that we are creating value that those of us that are patient and wait for the long-term that you're going to have creating value here, rather than being part of a business that's deteriorating. That's question one.
Charles William Ergen - DISH Network Corp.: Yeah, okay. What was the second part?
Leon G. Cooperman - Omega Advisors, Inc.: And then question number two is, very hypothetical. Justice is going after the AT&T-Time Warner deal. I have no idea what Time Warner wants to do or not do, but if in the event they were willing to divest DIRECTV to get a deal done, do you think the Justice Department would allow you to combine with DIRECTV?
Charles William Ergen - DISH Network Corp.: Your second question is pretty easy. I think that today you could combine DISH and DIRECTV. And the reason I say that is when tried to do that 10 years ago or 12 years ago that was really going from three to two in terms of the marketplace, and so you start to bust out a lot of indexes. But today you're already close to double digits in terms of people who have MVDD-type products to the consumer. So there's a lot of choice. So maybe you're going from 10 to nine. So it's a different analysis. And the second thing is, back in those days, the DBS business was growing quite rapidly. As you mentioned, it is suffering from some deterioration today. So I think the marketplace is a little bit different. So I think that Justice would look at that positively, but that's my opinion and I have no inside information on that. As far as value, I can tell you every day we come into work, I can tell you as an executive and a personal shareholder here that our focus is building long-term value every day. And we don't have a scoreboard. When we walk in our office, we don't have our stock price. We have a countdown clock that tells us how many days we have to build out our network. So we're focused on building value every day. And I can assure you that at least it's my belief, and I think that our management team and our employee's team thing is that we believe we're building value every day. And sometimes value doesn't get – you can't prove it, you can't touch it, you can't feel it for a while. It goes a bit in stair steps, but eventually that value gets recognized. So we built satellites for 3.5 years before we launched one and not one person gave us any value for building those satellites until they were up and operational. Then all of a sudden we had value. And then we have hidden values in this company that our management team is challenged, so Erik and his team are really challenged, which is we have a nationwide installation network that can touch – with a dispatch system that can be in somebody's home and climb on their roof and do some pretty complicated things, and we can grow that business. We have scale in programming. We have relationships with content providers that most people don't have, and that has value because we understand that business and how it works and how that can be a growing business both in current technology and future technology. And we're one of the few companies that touch satellite, video, and wireless connectivity. So I'm confident that we're building a lot of value. I have no idea whether that's reflected or not reflected in our stock price, Lee, but we're building value.
Leon G. Cooperman - Omega Advisors, Inc.: Okay. Well, good luck, and thank you for your hard work and your team's hard work. I appreciate it.
Operator: Thank you. We will now take questions from members of the media. Our first media question comes from Scott Moritz from Bloomberg. Please go ahead.
Scott Moritz - Bloomberg LP: Yeah, great. Thanks. I think someone has already won the M&A question betting pool, but I just hope that Charlie was forced to pay more than $1 on this one, referring, of course, to last call. But the...
Charles William Ergen - DISH Network Corp.: Are there any other questions on the betting pool that I can help you with permission?
Scott Moritz - Bloomberg LP: I will add on to the M&A question, though. Things, as you plan this narrowband network in 5G, I'm just wondering if your conversations have moved beyond the usual cast of potential partners, M&A partners in particular? And if you have any specifics on that, I'd love to get it.
W. Erik Carlson - DISH Network Corp.: As you might imagine, Scott, I wouldn't comment on any discussions that we may or may not have.
Scott Moritz - Bloomberg LP: Thank you.
W. Erik Carlson - DISH Network Corp.: By the way, I give the same answer to my kids if they complain about it, too.
Operator: Thank you. The next question comes from Shalini – I'm sorry, from Wall Street Journal. Please go ahead.
Shalini Ramachandran - The Wall Street Journal, Inc.: Hey, guys. A quick question on – I noticed that Sling growth seemed to have slowed year-over-year and I was curious what would you say the number one reason is that Sling TV subscribers disconnect?
W. Erik Carlson - DISH Network Corp.: And, Warren, you'll probably get that.
Warren Schlichting - DISH Network Corp.: Yeah.
W. Erik Carlson - DISH Network Corp.: But before that, Shalini, congratulations on the baby.
Shalini Ramachandran - The Wall Street Journal, Inc.: Thank you.
Warren Schlichting - DISH Network Corp.: Hey, Shalini, it's Warren. So we had 47% year-over-year growth. We like that. We like our position. I guess, I'd just answer the question with we have a different model. We have a unique model, and so we're not out there with fancy promos and giving the service away. We've been at this a while. We think we know what consumers want, and I think we like our position.
Charles William Ergen - DISH Network Corp.: But I might add to that. I mean a lot of people churn off of OTT. I think one of the big factors that I don't think is recognized totally by everyone is it is somewhat seasonal. So if you can buy a sports – March Madness is coming up. Somebody could get to particularly a free offer, you might be able to get a free offer. Watch it and churn off and you buy one month and churn off. So one-month churn is particularly high in the industry because people come in and out as a matter of convenience and can move around. The second thing is as there's a number people with free offers and free hardware offers or free offers or discounted offers, you can move from player to player to player. And in theory you could probably go – I'm sure there are some college kids who are going a year and never paying a dime for multichannel TV and getting lifetime HBO from AT&T. People will get smarter about how they do that and there'll be some discipline. People aren't suicidal out there in a capitalist society, so there'll be some discipline. You saw that I think one of them raised their price, adds a couple of channels and raised their price. I think Sony has raised their price, and so we're starting to see a little bit more discipline maybe.
Shalini Ramachandran - The Wall Street Journal, Inc.: Will you guys stop allowing to disconnect after one month, or is there any plans to change that?
Warren Schlichting - DISH Network Corp.: No current plans. We like where we are. We feel like we've – it really puts the onus on us to provide value. And I would throw out, by the way, that we see the demographics broadening. And so with that, I think, comes an expectation that the service works, that it's stable. So we focused a lot on providing a good, stable, consistent service, and I think we're being rewarded for it.
Charles William Ergen - DISH Network Corp.: And, by the way, Shalini, we're working with programmers to look at some of that, as we have kind of data across the platform to say, one of the things we can do to have meaningful programs throughout the year on a particular network or a particular combination of networks. And so to the extent that programmers will work with us, sometimes they have their own ideas and maybe our opinions aren't as relevant. But to the extent that they'll work with us, I think we have meaningful ideas and meaningful creative things that can really help the programmers in terms of – we both have a motivation to reduce the short-term churn within the platform. And so there's things that we can do proactively together. We can't do them unilaterally, but with the programmers' help I think there's things we can do.
Shalini Ramachandran - The Wall Street Journal, Inc.: Okay. Thanks.
Charles William Ergen - DISH Network Corp.: Operator, we have time for one more media question.
Operator: Thank you. The next question comes from Mike Dano of FierceWireless. Please go ahead.
Mike Dano - FierceMarkets, Inc.: Yes. Thank you very much for taking my call. I appreciate it. I wanted to ask a little bit about the NB-IoT network that you're building out. I wanted to know what spectrum bands you're currently building out and then also whether you would still be able to sell spectrum if such a transaction occurred, whether this would sort of tie up all that spectrum in a build-out.
Thomas A. Cullen - DISH Network Corp.: Hi, Mike. This is Tom. The specific configurations of the radios we have not publicly discussed, but we will be meeting the build-out requirements for both AWS-4 and the 700 E Block, and I don't think the deployment of this network would foreclose any future opportunities for us.
Charles William Ergen - DISH Network Corp.: Even during the build-out for this spectrum.
Mike Dano - FierceMarkets, Inc.: Right.
Charles William Ergen - DISH Network Corp.: Okay. Everyone, thank you for your time and participation, and we'll look forward to catching up after the next quarter.
Operator: Thank you. Ladies and gentlemen, this does conclude the conference call for today. You may now disconnect your line and have a great day.